Operator: Good morning, and welcome to the West African Resources Investor Webinar and Conference Call.[Operator Instructions] I'll now hand over to West African Executive Chairman and CEO, Richard Hyde. Thank you, Richard.
Richard Hyde: Thanks, Nathan. Good morning, and welcome to the December 2025 Investor Conference Call for West African Resources, and thanks for joining us today. Joining me on the call today, we have our Chief Financial Officer, Padraig O'Donoghue; and our General Manager of Finance, Todd Giltay; our Chief Operating Officer, Lyndon Hopkins, is on site at the moment in Burkina. The December 2025 quarter delivered another strong period of gold production across both our Sanbrado and Kiaka gold operations in Burkina Faso with just over 112,000 ounces of gold produced across the operations, delivering an operating run rate that bodes well for our gold production in calendar year 2026. Our total gold production for calendar year 2025 was a touch over 300,000 ounces of gold with Kiaka stepping up in Q4. This was well within our production guidance for the year. What's more is that we completed this achievement with no significant health, safety or social incidents, which is especially important to us and demonstrates our commitment to operating in a safe and responsible manner at all times. We sold 105,995 ounces of gold at an average price of USD 4,058 per ounce for the quarter, and we remain fully unhedged, therefore, allowing WAF to take full advantage of the record gold prices we are currently seeing. With all our sustaining costs -- sorry, with our all-in sustaining costs averaging USD 1,561 per ounce across the two operations, we've been able to deliver AUD 389 million of cash -- sorry, cash flow in the quarter, and that's after making income tax payments of AUD 48 million. Our cash balance at 31 December 2025 is AUD 584 million, plus we still held another AUD 177 million worth of unsold gold bullion, and that's just due to timing of shipments. Looking at our sites, the Kiaka ramp-up has been excellent since its second quarter start-up. And its performance in Q4 really demonstrated that. This is the first full quarter of operations for the site. It produced 62,287 ounces of gold for the quarter, surpassing production at Sanbrado for the first time. Kiaka's costs continue to improve as production has increased, which was what we expected, and it's pleasing to see this panning out. We expect costs to further reduce as our reliance on diesel generated power reduces over the coming quarters. Kiaka produced just over 95,000 ounces of gold for the year after commencing operations in Q2 and having a shortened operational phase in Q3. Open pit mining continues to ramp up as more equipment is commissioned for use. At Sanbrado, our steady production continued, and we produced just under 50,000 ounces of gold for the quarter, bringing our total for the year to 205,228 ounces. Sanbrado performed well against production guidance, achieving the upper end of our 190,000 to 210,000 ounces production range. Open pit recommenced in the quarter under our new owner mining operating model. Open pit mill feed in Q4 was sourced from both the M5 North pit and previously mined ore stockpiles. Mined ounces for the quarter from M1 South underground was 37,955 ounces, which was 16% below the previous quarter. This was due to a 14% drop in mined grade as well as slightly lower ore tonnes mined. With that overview of our production, I'll hand over to Padraig to discuss our financial details for the quarter.
Padraig O'Donoghue: Thank you, Richard. WAF, as Richard mentioned, WAF has benefited tremendously from being unhedged and generated AUD 662 million of gold sales revenue in the quarter at an average realized price of USD 4,058 per ounce. For the full year 2025, WAF generated more than AUD 1.5 billion of revenue. As Richard mentioned already also, we generated AUD 389 million of operating cash flow in Q4 and ended the year with a very strong cash balance of AUD 584 million. Our capital investing activities in Q4 used AUD 113 million of cash, which included AUD 89 million for Kiaka and AUD 23 million for Toega. Financing activities used AUD 23 million of cash in Q4 with payments for loan interest, principal and financing expenses offsetting cash received from the drawdown of equipment finance facilities. I now hand back to Richard.
Richard Hyde: Thanks, Padraig. So on the exploration front this quarter, diamond drilling beneath the M5 open pit ore reserve has confirmed potential for us to extend open pit mining at Sanbrado. Gold mineralization was confirmed more than 300 meters below the current ore reserve and mineralization remains open at depth. And this is really the first substantial drilling we've done at M5 North since about 2017. So it's no surprise that we can see that this mineralization being extended and then we're considering our options there, but most likely, updated ore reserve would consider cutting back the northern part of the M5 open pit. So some of the drilling results included 16 meters at 11.2 grams per tonne as well as more typical broad intersections such as 45 meters at 1.9 grams per tonne gold. Diamond drilling at M5 North will continue through 2026 and we look forward to further results from the program to help us better plan for the future mining at Sanbrado. But the future looks very good. Our last ore reserve estimate was completed at a much more conservative gold price of USD 1,400 an ounce. So recalculating today we would expect to use a higher gold price and obviously deliver more ounces into reserve. We also have drilling underway at underground for Toega. We continue to develop a satellite operation for Sanbrado, which we continue to develop as a satellite operation for Sanbrado. We're currently completing a 13,500 meter infill drilling program, which is infilling the underground resource and we'll have more results over the coming quarters. Grade control drilling also confirmed during the quarter with -- commenced during the quarter with 6,600 meters completed. This program is expected to be completed in early Q1 2026 with results to follow. In other developments at Toega, earthworks for the mine services area were completed and the construction of mobile maintenance workshop office and ancillary infrastructure has commenced. The haul road construction is well advanced and remains on schedule to enable order delivery to the Sanbrado process plant in early Q3 2026. Toega open pit mining operations will be owned and operated by WAF, similar to Sanbrado. Mining equipment continued to arrive on site during the quarter with commissioning activities underway. All mining equipment is expected to be fully operational by the end of this quarter. Pre-stripping of open pit mining of the open pit commenced during the quarter with a total of 250,000 BCMs moved to date. Material movement is expected to ramp up to steady-state production by the end of Q1 2026. Across other aspects of our business, we continue to invest heavily in social programs, including education, health, economic development, including providing scholarships to high school students from the area, upgrading our community health centers and constructing a new primary school and refurbishing an existing school near Kiaka, which will also be used for community events outside school hours. In relation to discussions with the Burkina Faso government regarding Kiaka, we continue to engage constructively with the government on these matters. But at this stage, there are no material updates on that matter. Overall, I'm really happy with our performance and progress throughout Q4, particularly with our ramp-up at Kiaka. We're looking forward to releasing our 2026 annual production guidance and outlining our capital management strategy later in Q1 2026. I'll now hand back to Nathan for the Q&A.
Operator: [Operator Instructions] Your first question comes from Mike Millikan at Euroz Hartleys.
Mike Millikan: Just a couple from me. Firstly, talking about obviously, very strong cash generation at the moment. Debt service, are you going to accelerate some of those payments?
Richard Hyde: Yes. So that will be a focus throughout this year and get debt down to a management -- a manageable level. That's our first focus. And then we're having active discussions in the office now and amongst our Board about capital management, which will take us past 2026 whether that's buying back shares or paying dividends, that's the discussion that we're having at the moment.
Mike Millikan: Yes. Is that the plan, certainly a buyback probably makes a lot of sense.
Richard Hyde: Yes. Look, they both make sense. We just really need to gauge the market and really from -- I'm a follower of Berkshire Hathaway, and they've always bought shares back and they've never paid a dividend though. So -- but it's either/or, I think it's going to be a good outcome for shareholders if we do either. But that's certainly our focus at the moment is to pay down debt and then either buy back shares or pay a dividend.
Mike Millikan: Yes. Awesome. Just looking at, obviously, the royalty rates currently in country, obviously pretty high. Is there any sort of changes expected there? I mean just it's obviously on a slowing scale and obviously, gold price is very high. Has some of your discussions also been centered around royalties?
Richard Hyde: No, not at this stage. I mean the gold price has risen so quickly. I think we're an average sale price of about USD 3,500 in Q3, and we've sold an average over USD 4,000 an ounce in U.S. Q4. So -- and already, we're well over USD 5,000 an ounce as we speak now. So really, the action has been pretty recent, and we'll be back in country in a few months' time and definitely raise that with the administration.
Mike Millikan: Yes, cool. And finally for me, just on Kiaka grid power, has it all been going? Has it been stable? What's your expectations for calendar '26 in regards to reliability? And what do you factor in some of your forecast?
Richard Hyde: So that will be kind of -- I think we can explain more of that later in the quarter when we put our guidance out. We had 2 or 3 weeks of stability or stable grid in December, and that allowed us really to ramp up production. And we consistently hit 30,000 to 35,000 tonnes a day in production at Kiaka, which was really, really good. So clearly, the last piece of the puzzle for Kiaka is stable power. We're also looking at installing a full HFO power station, which would allow us to have full production. So we'll have more information on that in our annual guidance. We've also increased the diesel capacity on site. So there's another 5 gensets arrived overnight on site. So they'll be plugged straight in, and that should give us about 30 megawatts of diesel on site. The last week has been pretty unstable with the grid, but there has been work being done by SONABEL, which is the government's energy provider in country. So we should be back on the grid in the coming days. And then we've also got some other equipment arriving on site, which will help stabilize the grid on our side. So look, it's early days with the grid. Long term, it's definitely the right option. In the short term, we've made provisions for additional diesel power and we're making a plan to have full backup with HFO, which is much cheaper to run in diesel. So that's kind of the summary at the moment, but I think the takeaway is that with full power, Kiaka is capable of producing of processing more than 10 million tonnes per annum without any capital -- without any material infrastructure changes. So does that answer your question, Mike?
Mike Millikan: Yes, it did. And congrats on a very good quarter. I will hand it on.
Operator: Your next question comes from Richard Knights at Barrenjoey.
Richard Knights: Just wanted to see if I could get you to give us a little bit more detail on the discussions with the government regarding the Kiaka stake. Just anything relating to time frames or whether or not you've made any progress on those discussions with potential co-investments in other projects? Just any more detail you can give on that?
Richard Hyde: Yes. Thanks, Richard. Look, there isn't a lot of detail to give, unfortunately. We responded late last year to SOPAMIB, and we provided them with a lot of information about Kiaka, our construction costs and economic models. And again, the gold price has moved significantly since then. So I mean the discussions have been quite good and cordial. They've made it quite clear that they believe in paying market price for additional share in Kiaka. And we did counter with a proposal saying that if you have a look at our current quarter, I think we paid indirect taxes and royalties, USD 90 million in one quarter. So clearly, we're a very good partner to the government. And probably in our view, that's the best model is that the government already gets a significant proportion of cash flow from mining operations in Burkina, which is getting close to 60% of cash flow at the current gold price. So -- and with obviously, the escalating royalty as well. So that's a significant proportion of cash flow now. So really, there's not a lot of detail to add. We're currently waiting on a response to our most recent correspondence. And we'll update the market as soon as we've got something back. But we've given them an alternative proposal, which we showed demonstrates much higher returns on investment, given that there are assets the government already owns that aren't generating any cash flow. So clearly, that would grow the government's share of revenue much more quickly than an incremental investment in Kiaka. But it's a discussion that we're having with them, and we're doing that in a transparent and polite way.
Operator: Thank you. There are no further questions at this time. So I'll now hand back to Richard for closing remarks.
Richard Hyde: Thanks, Nathan. Look, I guess, closing remarks, we've got a number of activities underway at the moment, including our resource reserve update. Our new 10-year plan will be coming out in late March. The 10-year plan will include drilling from M5 North and M5 South as well as extensions at M1 South underground. So I'd expect that to be a positive increase on the 10-year plan that we issued last year, which was very close to 10 years at 500,000 ounces per annum, which has been a target of mine for a long time. So obviously, we'll keep the market updated with our discussions with the government around the ownership of Kiaka and also with the stability of the grid as it improves. So thanks very much for dialing in today, and we look forward to keeping the market updated over the coming weeks regarding our activities.